Operator: Hello, and welcome to the Agfa Q1 Results 2021. My name is Josh, and I will be your coordinator for today's event. Please note that this conference is being recorded. [Operator Instructions] 
 I will now hand you over to your host, Pascal Juery, CEO, to begin today's conference. Thank you. 
Pascal Juery: Thank you very much. Good morning. Good morning, everyone, and welcome to the Agfa Q1 results call.
 I'm sitting here in Mortsel, our headquarters, with my colleagues from the Executive Committee. And Dirk De Man, our CFO, will share the presentation with me.
 So obviously, a very contrasted first quarter for the group and, I would say, a rather seasonally low first quarter. On the positive side, solid evolution, solid margin performance by HealthCare IT and Digital Print & Chemicals divisions, on track for growth. So these activities are either already in growth mode or close to it, like DPC.
 We are seeing a volume recovery in most of our business areas, including Offset, sequentially, is improving. However, the -- in this quarter, we had a very weak, in fact, Radiology Solutions business. Our volumes were weak. It's -- I'm telling you right now that this is a weak quarter that will not repeat itself. And already in Q2, we are seeing a significant step-up in our business, whether it is film or our DR business. But I must say, the first quarter was quite low for a number of reasons I'm going to come back to.
 We are continuing our very strict cost reduction programs. You will see our SG&A are continuously going down. At the same time, and that's also probably one of the major message I would like to give, is that we are facing cost inflation headwinds across our businesses, with the exception of HealthCare IT. Most of it, we are facing them in Offset. We estimate the overall raw material, packaging, freight and overall cost inflation to be EUR 50 million for the group. We already have launched significant price increase programs, especially in Offset, but not only in order to mitigate this cost headwind, but obviously, we'll need more along the years in order to be able to maintain our margins.
 We have continued with a very disciplined working capital management. Actually, our working capital at the end of the first quarter is lower than the end of the year, which means also, even in a weaker quarter in terms of margin, we were able to be positive free cash flow before the extra pension funding that we are continuing, as you know.
 So now let me walk you through a bit more to the numbers. So you've seen and remember that we are still comparing ourselves to a pre-COVID activity last year. Q1 '20 was almost, I would say, non-affected by COVID. So our sales, excluding currency impact, are minus 6%. As I told you, DPC and HealthCare IT, rather positive; Offset, recovering but still below last year; and Radiology, significantly below last year.
 SG&A, under control, minus 8% compared to last year. R&D, we kept constant. EBITDA, obviously, very much impacted by the weak quarter in Radiology, about 4% of sales. And an EBIT that is, in fact, at more or less 0 [ or less ].
 So if we go below EBIT, you will see restructuring/nonrecurring, not a big impact during this quarter. And therefore, relatively limited loss, profit from our -- loss from our continuing operations in this quarter.
 Overall, top line, 6% below 2020, which I remind you is a pre-COVID quarter. HealthCare IT, positive growth. We were not -- as you know, we are more today chasing profitability improvement, but we are very pleased to see that we could get some momentum also in our business, and that's a positive sign for us. And you will see, overall, we are pleased with the evolution of the business.
 DPC, in line, in line with what was a pre-COVID quarter, in spite of the lockdowns that are still impacted activities like sign & display for inkjet business. But our chemical businesses are already well above last year and growing.
 Offset Solutions, improving sequentially. But Radiology Solutions was the main issue for us in terms of volume decrease, sales decrease of about 16%. More for film. DR, almost in line with last year, I would say. So overall, gross profit margin declined from the impact of Radiology. Radiology is the most profitable part of our business. And of course, we are suffering from the mix. And as well, we are starting to see, in the first quarter, the cost inflation that is impacting across the board.
 At the same time, we are also suffering from the negative currency impact from the group. The weakness of the dollar is much weaker than last year. And for the renminbi, it's a mixed picture because we buy in renminbi also from our operations in China and sell in euros or dollars. But China is also a significant end market. So it's a more balanced, I would say, situation.
 HealthCare IT and DPC continue to improve profitability. You will see that for HealthCare IT, we are on track with which we told you. We are encouraged by the development that I'm going to share with you in more details. DPC as well. DPC is also impacted by the cost inflation. But in spite of this, we continue to improve profitability.
 Main -- the issue of the quarter is Radiology Solutions, impacted by China, but not only. China is only 1/3 of our sales. And we've seen weakness in volumes across geographies. To be clear, a very slow start of the year, impacted by COVID-19 in some countries still today. But also a more pronounced seasonality overall of our Radiology Solutions business.
 Offset, where all the cost improvements are delivered, but today are a bit eliminated by the cost inflation and the currency impact for the business. We took action already on price. There is a certain delay in terms of contract management in being able to reflect higher cost in our contracts. Some of our contracts, about 50%, are indexed. But you see the impact with a quarter delay of the cost increase. So it's going to come. And for the rest, we've been very active increasing prices, as you know already. We'll probably have to do more in the next weeks or months as we are continuing to see an increasing trend for raw materials in the business.
 Positive free cash flow. Maybe, Dirk, I will turn to you, and you will comment on this slide, please. 
Dirk De Man: Yes. Thank you, Pascal. Good morning, everyone.
 So indeed, a good cash flow quarter. As you can see, we had about EUR 38 million of adjusted free cash flow driven also, thanks to strong performance in the working capital. Despite what we normally have a seasonal buildup of inventories in Q1, we turned out to still have a positive contribution in terms of the cash flow.
 CapEx is a bit below average but normal for the first quarter. And of course, provisions and income taxes come on top. So the EUR 38 million, part of that, obviously, we need to pay for the pension. So the regular cash outflow for pensions is around EUR 14 million. There is some cash restructuring, which is primarily related to the projects of 2020 that are being executed still in Q1, leading to a free cash flow of EUR 16 million before extra contributions to the pensions, and I will come back to that later. So indeed, in the first quarter, we did the contribution to the Swedish pension plan which, as a result, will be totally eliminated from the balance sheet. So net, we come to a 0 free cash flow.
 And if we move to the next slide, you can see that also the net cash position remains more or less unchanged versus previous quarter, at a very strong level.
 In terms of the pensions, as you know, the plan we announced last year is to overall use EUR 350 million for the pension plans, reducing both liabilities but also derisking. As you recall, in 2020, EUR 218 million of that was injected. In Q1, we did this elimination of the Swedish pension plan. So it's one of the nonmaterial countries, but we were actually able to totally eliminate the pension plan with that contribution.
 And then that's not any more Q1, but in Q2, in April, we also contributed EUR 103 million to the U.K. pension plan in support of a buy-in program which was successfully placed in April. So the total buy-in, we'll derisk a total amount of EUR 216 million. And it will not be eliminated from the balance sheet, the liabilities, but will have an offsetting asset that will be totally following the liability, basically a full derisk of the U.K. pension plan and which is also a good step in the long term in case you want to go for a full buyout at one point in time.
 We expect to have the whole pension plan completed in Q2. We are still finalizing with the actuaries all the final calculations. So we expect that we can give you an update with the Q2 results of the total program and the implications it has.
 For now, I would already like to give the guidance in terms of the cash flow below EBITDA. We expect it to be around EUR 52 million cash out in 2021. And just for reference, in 2020, that was EUR 60 million. So we are already going on that path of a reduction of reduced pension cash outflows.
 And I'll hand back to Pascal to discuss the working capital. 
Pascal Juery: Thank you, Dirk. But that's a good evolution and especially going forward on the cash outflow for the pension.
 Disciplined working capital. We have decreased our working capital compared to the end of the year. Percentage of sales is the same. As you know, we have always seasonally a strong fourth quarter and a much weaker first quarter. Expect the same profile as last year in terms of managing the working capital, probably an increase during the first half of the year. And then we will get it back to where it needs to be by year-end. We are doing that in order to optimize the way we organize our production schedule in a year that is still -- that was still not a normal year in terms of, I would say, COVID-19 measures. But that's clearly under control.
 HealthCare IT, the number, as I told you, excluding currency, most of our sales are in dollar in North America. We've seen a growth. We're improving the gross profit of the business as well as the adjusted EBITDA, almost 12% of sales, significant growth versus last year. So very pleased overall by the evolution of the business.
 We had very smooth -- we continue to implement our Enterprise Imaging system. And we have very smooth go-lives in many geographies, especially in Europe, but also in the Middle East. In Europe, I want to mention the Leeds Hospital, which was a very, very good project for us for the NHS.
 What I want also to stress is not only do we deliver good numbers, but we have also actually an order intake dynamics which we like. It's the third quarter in a row where we see our order intake picking up, with the right mix of projects, which is also very important because as you know, we are engaged in specific projects. So we like our order intake evolution. And the order book, the order book is still at a very, very healthy level, and we are happy also with the development.
 We are also very happy to have been recognized externally. It's the first time in a few years, actually, by KLAS, which is the market research institute in North America on this subject. And they classify Agfa as the most ready for Enterprise Imaging, which is an external recognition coming from the fact that now we have a stable technology, which is well appreciated by our customer base. And we have proved that we can handle very, very significant implementation and deployment at customer level with full satisfaction, I would say. So we are very happy with that.
 Again, our strategy remains a focused strategy. We engage at specific customer accounts in specific geographies, and we engage in specific projects for us. So we keep this daily discipline, and this is the reason why you see a steady improvement of this business. And the steady improvement will continue throughout the next quarters. And I'm saying basically that we are on track in our journey to reach the high teens EBITDA within the next 3 years. So happy about the development of the business.
 Now Radiology Solutions, which is quite contrast, without a play on words. Because indeed, it was a very difficult quarter, minus 16%; minus 14%, including currency. Tremendous impact on the gross profit coming from this lack of volumes and mix, and therefore, a very subdued EBITDA level in what is clearly, today, a very profitable business for the group.
 So the reason for that, overall, as I say, typically, Q1 is a slow quarter for Radiology, but this year, it was much lower than usual. DR also, which was a positive growth engine for 2020, had a more subdued quarter in Q1, rather flat compared to last year. So it didn't make up, I would say, for the decline of film.
 Medical film, yes, volumes are impacted, as I said, in all geographies. China, the situation is a bit different, as there is a change in the procurement process. That also involves a bit of, I would say, destocking due to the uncertainty, and therefore, our volumes were lower than expected also in China. However, we are already, I would say, almost mid-May. And we've seen already in March and even more so in April a very significant pickup of the activity in Q2 in film and as well as DR. So I don't want to leave you with the impression that this is the new state of the business in Radiology. It's certainly not. It is rebounding very strongly, but it's fair to say that Q1 was very subdued.
 DPC. DPC, rather positive quarter, or some different dynamics in the different activities of this business. But overall, back in track to last year and better in terms of profitability. And this is a trend that we expect will continue over the next quarters, the reason being inkjet, which was a bit below in terms of recovery, because a significant part of our business is linked, I would say, to commercial activities and events. So it was strongly impacted during COVID time. I'm happy to say that the equipment order book has been steadily increasing for the past month. And today, it's almost back to pre-COVID level, not quite so. And the good news is it happened even in a situation where we cannot entertain our customers in our demo rooms, first. So that's a good sign. And on top of that, the mix is favorable because it's tilted to the high-end equipment of our range, which is for us a very positive signs.
 Positive signs also, we have our first successes in industrial markets like decor printing and laser printing. And overall, ink volumes have been now, I would say, overall back to pre-COVID levels, which is a very positive sign as we were still in lockdown in a lot of countries.
 Electronic Print overall growth. Hydrogen membrane sales pipeline reflects, of course, a very strong growth, not yet material for the group. Expect the membrane business to start being, I would say, material for the group next year. But today, we have a very exciting sales pipeline at a number of customers. As you know, the hydrogen world is bubbling with projects, and Agfa is present in all projects related to alkaline electrolysis green hydrogen production. 
 Specialty film and foils, below last year. The reason being key markets are industrial markets that are still not fully recovered, like aeronautics and oil and gas. But we expect recover -- to recover partly during the year. So overall, better profit. The division is also impacted by cost inflation, and we will also put price action or have put already price actions in place to mitigate and pursue the improvement of profitability.
 Offset. For Offset, the good news for offset is actually volumes have continued to recover. We are not expecting to ever get back to pre-COVID level in this business. But I must say the volumes of the first one was -- were encouraging. However, the issue we are facing is a significant impact of cost increase and currency headwinds in this market, which kind of, at the end of the day, eliminated most of the cost actions that were put in place.
 So again, as already explained, here, we have strong price actions in place that will develop through the year. That's continuing also our cost journey, and we continue to review our go-to market. We have several initiatives that will be implemented in the next month that we will share with you in due time. But for me, I mean, the clear way out of restoring profitability today is our ability to increase price in this market. And with the first price increase that was announced a few weeks ago, I think this is a common issue for the whole industry. We've seen also other price increases initiatives in this market, and we will continue to lead the recovery of Offset.
 Overall, outlook after this really subdued Q1, we expect the business volume recovery to continue throughout the year and starting, of course, with Q2. We are continuing cost reduction programs. And you will -- we are doing that on a continuous basis, and we will share with you any specific initiatives we might launch during the year.
 We are -- of course, as I told you, the first priority is price management in order to face the cost inflation. And believe me, we are taking a lot of actions in this area.
 I confirm the growth of HealthCare IT and Digital Print & Chemicals. I think for us, if anything, what we want to achieve is to be able to accelerate this growth. 
 Offset is improving but is now under inflation pressure. So price will be the way out of it.
 And Radiology Solutions, substantial recovery in the next quarter. So it's a bit... 
Dirk De Man: Pascal, if I may, I just wanted to add in terms of the cost savings programs, that we also wanted to adjust our guidance around nonrecurring and restructuring. 
Pascal Juery: Absolutely. 
Dirk De Man: We expect this year to be around EUR 40 million in terms of the P&L charge. 
Pascal Juery: No, it's a good point. I think it would have come probably through the Q&A. But last quarter, we wanted to -- we had this question, and we indeed wanted to come back with a more precise answer. So we are continuing, indeed, to expand restructuring in order to lower the cost base of the group. 
 Before I open for questions, I want to share with you our sustainability policy. We have put in place today a sustainability road map with, I would say, an ambition, a 5-year objective and a 1-year objective. I will have the opportunity to share that with you in more details in due time. But already, we have defined material goals for our business. Actually, the first one is about diversity and inclusion as well as safety. These are 2 areas for which we have a specific road map.
 We are also working on sustainable innovation. We want to make sure that every new generation of products that we place in the market represents a significant progress in terms of sustainability, and we are starting to assess our innovation portfolio accordingly. We will also initiate an ESG rating with a third-party. We have not yet selected the third-party, but it's going to come in order to be able to have a third-party assessment of sustainability road map.
 And we are continuing -- on a continuous basis, we are reducing the impact of our operations in terms of footprint. And here, the main objective for us is CO2 emission. We are about to start actually solar panels in our Mortsel site, which were already there. And we'll start producing electricity for the site 1st of June. We have a number of industrial initiatives at our sites to reduce CO2, and we have created a CO2 reduction road map.
 So I wanted to share that with you today. We have not only a policy in place but a sustainability road map with yearly objectives. And probably in a few months, I'll come back to you and share these objectives and how we are doing regarding this objective. The sustainability is a very top priority for us as well.
 So that's what I wanted to share with you today. In a nutshell, a complex quarter in terms of business, especially for Radiology volumes. But also, I would say, the cost inflation that's coming our way means we'll have to implement a lot of pricing actions. In an overall context, where I must say that the recovery of volumes is confirmed, I would say, month after month in most of our businesses and whereby we are confident going forward with the evolution of our 2 growth divisions of DPC and HealthCare IT.
 I'm going to stop here, and I will take the question of the analysts, please. 
Operator: [Operator Instructions] Our first question comes from the line of Guy Sips from KBC Securities. 
Guy Sips: Yes. I have 3 questions. First is on Radiology Solutions. Can you elaborate a little bit on what you call new centralized procurement practices? What is behind that? And how should we see that? And what is the potential positive impact going forward of this?
 Second is on Offset Solutions. We saw -- can you give us an overview of the dynamics in the market there? We now saw, for the first time, Fuji Film, the latest to increase prices starting May 1. How important is this that, yes, as well, Fuji is now implementing the higher aluminum prices, that this cannot be longer absorbed? So how do you see these dynamics going forward?
 And then on these restructuring costs, EUR 40 million, how is that spread over the year? Is that skewed to the end of the year? Or is it equally spread over the different quarters? 
Pascal Juery: Thank you very much, Guy. Radiology Solutions, so China, the change is -- in fact, there is a change in the procurement practice in China, whereby procurement is now being organized by region, by provinces, whereby it was more decentralized before. So that creates a bit of disruption, if you want, in the way the procurement is organized. And that's what we are seeing right now. So it has an impact. It has an impact because basically either you lose or you win a province.
 So at the end of the day, I'm not expecting necessarily a tremendous impact in terms of volume, but it's not going to be organized the same way it was before. And it's a little bit unclear for the time being as the system is being implemented. Only a few provinces have been going through this system. We won some, we lost some. So we are in this kind of in-between situation.
 I don't -- at the end of the day, the China market remains the first market for hard copy films and the first market for Agfa. We were in the process of rebuilding our market share after changing our go-to-market a few years back. We have now to adapt to a new system in order to get back. But there is no change in the film consumption, whatsoever, at this stage in China. It's a disruption due to this change of process. So that's for China.
 Offset, dynamics in the market. Well, I already had the opportunity to say that, clearly, we -- the industry as a whole has a challenge in the Offset. Last year, you remember, we were in negative EBITDA in this business. So clearly, it's not a specific Agfa issue. It's an industry-wide issue. There is no -- of course, there is no, I would say, competitive difference in the cost to make digital plates between a Fuji or an Agfa or a Kodak, for that matter.
 So clearly, we want to lead the market. We were the first to announce what is necessary for the industry given the increase of aluminum. But not only aluminum. All raw mat -- key raw materials are increasing. The freight is increasing. The packaging is increasing. I mean, the cost inflation is not just only aluminum, by the way.
 So does it mean a new dynamic? I think the industry has no choice. I have no choice at all. And facing with what we are facing for Offset, and I told you it's about 50% of the overall cost inflation for the group or EUR 25 million. And we see aluminum prices still going up today. Therefore, we need to increase price, and we will probably continue to do so over the next weeks and months.
 Change of dynamics? Yes, I think this is the first time ever that at least as far as people can remember that Agfa is doing a general price increase in the market. And I must say, I've seen the announcement of Kodak and Fuji. It seems that the whole industry is facing the same challenges, which is absolutely, I would say, normal for me. So change of dynamics, yes, because it's the first time in many years that prices will increase in Offset.
 The EUR 40 million, yes, Guy, I'm not sure it's easy to give a quarterly guidance. 
Dirk De Man: Yes. I think the best way to respond to that, it's going to be spread over the year. I would not give any other guidance at this point in time. 
Pascal Juery: Now we wanted to give you an idea of the overall amount. Now it's more complex to give a spread. So -- but EUR 40 million for quarter. 
Dirk De Man: And we had these 3 left. So... 
Operator: Our next question comes from the line of Maxime Stranart from ING Bank. 
Maxime Stranart: So 3 questions on my side as well. First of all, in Radiology would be, is it possible to quantify the impact of China of COVID-19 in Latin America and India and the rest to have a broad view of what is the main building blocks in the decrease in EBIT?
 Secondly, in terms of outlook. So you previously mentioned that you expected the pension deficit to be below EUR 700 million by 2024. Is it something you still confirm?
 And then secondly, for 2021, is it possible to have more quantified view on what do you expect -- on what you expect?
 And finally, to rebound on Guy's question, on restructuring initiatives, is it possible to have a better view on what you exactly intend to implement and which division it will impact? 
Pascal Juery: So thank you very much, Maxime. On Radiology, it's a bit difficult to be that granular. But let me tell you that when I look at the volume impact of the film for the first quarter, China is 1/3 of that. So actually, I told you, it was across the board, the volume weakness, and that is behind us. It has already come back. And there are specific reasons for this. For instance, in Southeast Asia, the yearly contracts takes a bit of time to be negotiated, meaning we don't sell during the first month of the -- the first 2 months of the year, and we start selling in March after the contracts are in place. So don't -- we've got that kind of impact as well. So China is not the full story. It's about 1/3 of the film weakness.
 The outlook of the pension, Dirk, 2024, below EUR 700 million? 
Dirk De Man: Yes, I think the guidance still stands. But as I mentioned, we're going to give an update in Q2 which summarizes all the effects. Because, obviously, between the previous time we mentioned that, we still had a revaluation at year-end, which always has an impact on what the net position is. But we will give an update in Q2. But let's say, all things being equal, the target still stands. But obviously, there was a revaluation in the middle, so we need to assess those impacts. 
Pascal Juery: And for the restructuring, Maxime, I wish I could share that with you, but you understand that restructuring is always linked to social process somehow. So if we do restructuring, it means we are going to impact somehow our people. And therefore, I'm sorry, but I cannot share with you our plans, our precise plans, for what we are going to do in the next quarters. So you're going to have to take our word for it. We have shown in the past that we are not shy of doing this. We have announced projects, by the way, already at the end of last year. We will announce probably more projects in the next month. But I cannot share with you the nature of this project for this reason.
 And regarding the quantified outlook for the year, I'm not giving a guide -- a number, a guidance for the year for the simple reason that I think we are still in a kind of a flux in terms of raw materials and pricing. We have a lot of actions and a lot of moving parts right now. And I want to have a little bit more visibility on the rest of the year before being able to guide more precisely.
 But as I told you, Q2 is kind of back to normal quarter, I would say, for Radiology. And the rest -- and in DPC and HealthCare IT will continue their growth. Offset is -- we will see probably a first impact of the price increase but also an increased impact of the cost inflation. 
Operator: Our next question comes from the line of Kris Kippers from Degroof Petercam. 
Kris Kippers: Yes. Firstly, coming back on the price increases, which you're pushing through. Just from my understanding, what is the current delay that you face in this part? Is it a couple of months, 2 months? Or do you -- are you playing a bit short on the ball with the current hike you're witnessing?
 Second question would be coming back on the nonrecurring charges. Could you share with us what the impact on the cost savings is actually for the year and afterwards?
 And regarding also on the cost, SG&A, we saw an 8% reduction. Which part of that is structural and which part is temporal? 
Pascal Juery: Very good question. Thank you, Kris. Well, the price increase, the short answer is we have different situations. As I told you, we have indexed aluminum contract in which we have a quarter delay in implementation through the contract. So that's the way it is. When we don't have a contract, we can increase prices almost, I would say, immediately. When I say immediately, it's a few weeks delay. And -- but it pretty much depends on the contractual situation.
 But overall, yes, I mean, when you implement a price increase, it takes a few weeks or a few months, in the worst case, to take hold and depending on your contractual situation.
 Luc for Offset -- Luc Delagaye for Offset, you can comment if you want further. 
Luc Delagaye: But I think -- yes, Pascal, I think you said everything, yes? So for instance, in Europe, which is a very important region, you may say half of it is what we call net of alu. That means the aluminum increase is foreseen in the contract, so it goes so to say automatically. But in some cases, there is a delay foreseen in the contract because not having the fluctuations immediately.
 For the rest, we have to look at each and every contract, and we are pushing hard to increase these prices. Because let's not forget that in Offset, the printer can recover this increase because once he has used the plates, he will sell them to a scrap dealer, and also these prices are going up. 
Pascal Juery: For the aluminum [ he needs ]. 
Luc Delagaye: For the aluminum, yes. 
Pascal Juery: Typically, it's not -- a typical situation is a 30-day notice for a pricing contract. So you've got a month of notice, I would say. So that's for your first question.
 Nonrecurring impact, Dirk, do you want to take this one? No? 
Dirk De Man: Yes. So in the nonrecurring restructuring, so there's 2 pieces of that. There is obviously a large part that is the nonrecurring part related to the separation activities regarding Offset. So that's a structural cost, mainly ICS-related. That obviously does not lead directly to cost savings. There's also program costs because we are working on different kinds of programs to find opportunities to reduce costs. And I would say that's about -- in total, that's about half the amount we're talking about. So the other half would be more restructuring-related and, therefore, become ultimately effective in the P&L. 
Pascal Juery: Regarding SG&A, regarding SG&A and to your question, I would say most of what you see is structural with one caveat. We don't travel, of course, very much, still today. There is less trade shows and that kind of expenses. But on the structure, I mean, most of what you see is not anymore -- it was -- part was temporary last year. It's less and less this year because, of course, we have less and less this measure of temporary unemployment and so on and so on. We still have some in some areas but not as much. So actually, the percentage of structural measures in the overall SG&A savings is becoming higher and higher. 
Kris Kippers: Okay. And just a small follow-up to be sure. If I look at working capital, which was stable in the quarter, 27% of sales, if I'm not mistaken. Is that something which might go up in view of the inventory? Or is that a small part only and won't evolve much? 
Pascal Juery: The typical phasing of working capital, given our manufacturing footprint, would be that we will probably increase our working capital until the summer before winding it down in the second part of the year.
 In terms of inventory, of course, as raw materials are increasing, then you will have also an impact on inventory as well. But you have an impact on inventory, sales price, I mean, overall impact. So this is why I think the percentage of sales is the right metric for working capital.
 But overall, expect the same phasing, maybe less pronounced than last year, but the same phasing in terms of working capital. A bit higher at the end of Q2 and Q3 and lower at the end of the year. 
Operator: [Operator Instructions] Our next question comes from the line of Guy Sips. 
Guy Sips: Yes. On the pension liabilities, can you give us an update on the sensitivity on the discount rates? What is the impact of a 25 basis points increase or decrease of the discount rate on your liabilities? 
Dirk De Man: Yes. Guy, I think you can still use the guidance that we have in the annual report. I don't think it... 
Guy Sips: So that's EUR 75 million? 
Dirk De Man: Yes, yes. 
Guy Sips: For every 25 basis points, that will not be impacted by the measures taken in the second quarter? 
Dirk De Man: Yes. Well, obviously, we'll recalculate the sensitivities once we have everything implemented. But right now, we're still in the middle of it. So at year-end, we already had parts reflected. And the key thing will be on the gross liability, the sensitivity may remain the same because in the U.K., it's a derisking. It's not an elimination. But in terms of the net liability, the sensitivity will be completely eliminated. Hence, it will reduce in the future. But we have not been able to recalculate the sensitivities based on the new structure. 
Pascal Juery: Thank you. And I think that we can conclude the call at this stage. Thank you very much for attending, and have all a good day. Thank you. 
Operator: Thank you very much for joining today's call. You may now disconnect your handsets. Hosts, please stay on the line. Thank you.